Olof Grenmark: Ladies and gentlemen, I'd like to welcome you to Boliden's Q4 2025 Results Presentation. My name is Olof Grenmark, and I'm Head of Investor Relations. Today, we will have a results presentation led by our President and CEO, Mikael Staffas; and our CFO, Hakan Gabrielsson. We will also have a Q&A session, which we will start here in Stockholm. Mikael, the stage is yours. Welcome.
Mikael Staffas: Thank you, Olof, and good morning to everybody from me as well. We in Stockholm here have a crispy morning. When I woke up this morning, it said minus 15 degrees outside of my bedroom window. Today, we will give the presentation of the Q report, and we'll also touch on the R&R statement update that we've also issued this morning. So generally speaking, for Q4, there's been a very strong metal price development. Everybody knows about this. And of course, precious metals have been really rallying during the quarter. At the same time, we've had a negative development on prices and terms, but that has in relationship to, of course, a much smaller movement. We have a continued strong mine production in Aitik. We have been stripping very, very hard for quite some time, and we are now happy to say that we're, in some way, catching up on the stripping depth that we've had before. We're also happy to say that the grades are going up in Aitik and have now started on their journey on going upwards. Apart from Aitik, we've had generally lower grades in mines. To some extent, this is maybe slightly more than we had expected, but part of this was already in our guidance that we've had before. We had a stable production in smelters. We're very pleased with that in general. We had a one-off positive of SEK 410 million linked to summing up of taking care of the metals in Ronnskar in the fire as we had the fire metals in the tankhouse, was going down and going down into the ground. And we have now, during this quarter, done a summary of that and where we are actually standing, and we have been able to recognize this SEK 400 million positive effect. The dividend has also been recommended by the Board. This is fully in line with our dividend policy of 1/3 of net profit, and it amounts to SEK 11 per share. We also have a very positive R&R development. I'll get back to that in a little while. So the financial performance in general, a little bit more than SEK 4 billion in profit. It's the third best profit in the history of Boliden for a quarter, which is good. We do have the positive SEK 410 million one-off, which is much lower than what we had last year in that comparison. The free cash flow also quite healthy at SEK 2.7 billion despite record level investments. And we've had a favorable development of working capital in the quarter. And the CapEx, as I said, according to budget, but on a high level. On the key projects, on the Odda project, there's not really much more to say compared to what we said when we issued the guidance for 2026. We are right now in the middle of commissioning, and it's going so far well. We have started to deliver some of the Odda Leach product actually as the first delivery. It's a very small-scale delivery so far. The Ronnskar tankhouse is on track and ramping up during the second half of this year. The Boliden Area tailing management is also on track. And the early part of the Garpenberg expansion, which is the Paste project, is also moving on according to plan. We have been also getting, which we were hoping for to get the environmental permit for Garpenberg. It has been appealed. So the appeal process will be launched here going forward. On ESG side, we're also [indiscernible] with the development. The greenhouse gas emissions are going in the right direction. And you always have to point out that when you look on the graph here to the right and also on the comparison number that we have not restated any previous numbers with the acquisition of Zinkgruvan and Somincor. If we were to take that into account, this is looking much better. The lost time injury frequency at 3.6 is a very good number, even though it was even better last year. And this also means that we're ending up the full year on 3.6, which is, I think, the best year in the history of Boliden. Sick leave continues to move in the right direction. We're not quite back to pre-COVID levels, but we're approaching coming back to pre-COVID levels. On the market side, and I think this slide shows it all and everybody wants to discuss that, yes, we've had negative currency development, and you see that on the little graph below, the bluish graph. We've had relatively weak TCs, zinc and for copper on the spot side. And we've had -- but we had copper or metal prices that have more than enough outweighed that, especially the precious metals, gold and silver, but also relatively strong copper and also slightly -- at least slightly improving also zinc prices. If you look at this on the cash cost, and I think that this -- if there's any time maybe you should not look too much on to this graph is right now because it will be lots of discussion with the people who make this one and the source of this information, exactly how they will account for the precious metals in this because with the big increase of precious metals as is most of the zinc or copper mines in the world have that as a byproduct and as a credit means that cost will go down. You see here in the assessment for '25, that costs are down, but I will not be really responsible exactly how this has been counted. But it's not that the zinc mines in the world are getting so much better at managing cost. It has to do with the silver price going up. And the same thing with the copper mines in the world not getting better in managing the cost, it's the gold price that is going up. If you look at our mine production, once again, in Aitik, we've had a milled volume around what we've guided for. The grades have improved versus Q3, and we had a strong total mine production with very good stripping in the quarter, which is going to help us going forward, especially to work with how to get around the diorite issue when we will get more potential [indiscernible] to work from. In Garpenberg, I think this is the second best quarter ever in terms of throughput [indiscernible] grades are lower, but that's also according to plan. Kevitsa, stable production at capacity, lower grades also remain [indiscernible] to plan. Somincor, quite a strong improved operational efficiency we've seen during the quarter. Tara continues with the ramp-up. And in Zinkgruvan, we had good production, slightly lower zinc grades this quarter also, nothing to really look into in long term. It's more or less according to plan. On the smelter side, it's been generally good production, especially on the copper side, good production in Ronnskar with high free metals; good production, actually record production in Harjavalta in terms of copper cathodes; high silver production. At Kokkola, slightly lower. We've had some process disturbances during the quarter, maybe not much. Odda is continuing to doing well in one way, but of course, also struggling operating a zinc smelter right to a major construction activities. Bergsoe had some planned maintenance in the quarter. Otherwise, everything went well. And with that, I will give over to you, Hakan, to talk about the numbers.
Håkan Gabrielsson: Thank you. Good morning. So as Mikael said, we are reporting an operating profit, excluding process inventory of SEK 4.1 billion, which is clearly above the comparison period. I think it's also worthwhile to look at the operating profit then including process inventories, which is at SEK 5.8 billion, a substantial increase to the comparison. And that's, of course, due to the stronger metal prices and the big part pressures that we have in the process inventories. This leads to an earnings per share of SEK 15.31, which is a 40% increase compared to last year. On this slide, you also see a high investment number. We do have high CapEx, which is completely in line with the guidance. And all in all, a strong cash flow at SEK 2.7 billion. Looking at the profit by business area, you can see that mines has had a really good quarter, of course, helped by the rally in gold and silver and also strong copper. Smelters is also clearly up compared to Q3, and there are a few reasons. One is the one-off recovery adjustments that we talked about already in December, but also smelters are much helped by stronger precious metal prices, and we also have slightly less maintenance in Q4 compared to Q3. If we then dive into the analysis of profit quarter-on-quarter here and start with the one comparing Q4 of this year -- or sorry, Q4 of 2025 to Q4 of '24. Looking 1 year back, much is about adding the acquired units. It will come back in many of the lines here. But we can start with prices and terms where we've seen a strong improvement. Metal prices, if we only look at the metal prices isolated, contributed by about SEK 2.5 billion compared to the same quarter 1 year back. And then it was then offset by a lower dollar and lower TCs, landing at a plus of almost SEK 1 billion. So all in all, a good development. Volumes up 1.5. That's mainly the new mines and also Tara that has been ramping up. It's a little bit offset by weaker grades above all in the Boliden Area and Garpenberg. Costs, same things. It's an effect of the acquired mines and the restart of Tara. If you back out those top parts, we're roughly flat with the same quarter last year. So we do not see much of an inflation at this point in time. And I think, yes, we can also comment on the items affecting comparability. We have insurance incomes and we have recoveries in Ronnskar, and that is further specified in the report. If we then move on and look at the sequential comparison, Q4 to Q3, you can again see the big impact of stronger prices. And that's primarily silver and copper in this comparison, but also gold. Volumes, though, is a bit down, and we talked much about Q3 being a very, very strong quarter with some records in it. We have slightly lower production in mines, both throughput and grades with the exception of Aitik, where grades is starting to move in the right direction. Costs, they are seasonally higher. We see a pretty strong seasonality. As I mentioned, compared to last year, it's roughly flat, but we do have higher costs in Q4 than Q3. So it's seasonality, we spend a bit more on external services. And also due to the strong development of prices, we had to increase our provisions for profit sharing and similar in Q4. Moving on then to cash flow. Well, we've talked about the strong earnings, EBITDA. We talked about investment being in line with guidance, but we also had a good quarter in working capital. Typically, what happens when prices go up is that we tie more capital. Each tonne of inventory has a higher value and so on. But regardless of that, we've been able to release working capital also in this quarter, which is the third consecutive quarter with a positive number in here. So all in all, we are happy with the cash flow. And that's -- with that cash flow and with that price development, it sums up in a strong balance sheet. We have a net debt to equity now down to 20% as a result of this good development. So a strong balance sheet and robust financing to support that. This is also a time when we look a bit at the full year numbers. And this year, we reached an operating profit, excluding process inventory of SEK 10.7 billion. It is down compared to last year, but then last year was very much boosted by big insurance income. So adjusting for that, it's a step in the right direction. Prices and terms has a positive impact. Volumes are up. And of course, the acquisitions and the restart of Tara is an important part of this. But all in all, it has been a good year. And looking at mines, you can see the profit, the EBIT for each one of the mines and a couple of ones that I'd like to highlight is the Garpenberg mines, really strong performance with an EBIT of SEK 4.4 billion, of course, helped by good silver prices, but also by a good operational year. Also the Boliden Area, which is showing an impressive result of just over SEK 2 billion. That is another good year. And again, good operational performance, but also good prices on gold, in particular, helps the Boliden Area. And SEK 2.5 billion profit is great. We don't disclose the return on capital employed, but of course, it's a fantastic number for a site like Boliden. I'd also just like to highlight that in the Somincor and Zinkgruvan numbers, the depreciation of the overvalues following the acquisition are included. Looking at an EBITDA level and extrapolating to a full year, it's within the range of what we guided for, for these 2 mines. Smelters, a year that has been, to some extent, characterized by low treatment charges. Still we arrived at SEK 3.7 billion, down compared to last year due to the one-off insurance income we had last year. But there has been some pressure on prices, but the gold and silver has compensated that, especially in the copper smelters. Harjavalta delivering a result in excess of SEK 1.5 billion and Ronnskar with a SEK 1 billion profit, which is a really good number considering that we still don't have a tankhouse on that site. The zinc smelters are suffering a bit more with Kokkola coming down and Odda having a negative result due to the prices, but also due to the expansion project having a slight negative effect on the daily production. And I think this is also an effect of not being able to recover silver, which we cannot today in Odda and it underlines the importance of the project that is currently ongoing. So with that, I'll hand over to Mikael.
Mikael Staffas: Thank you, Hakan. Now we've had some technical issues with my microphone. Hopefully, now it will work on here. As I said in the beginning, we also released today the R&R statement and the R&R statement, in my mind, looked very, very strong and very good. Generally on exploration, we spent a little bit less than SEK 1 billion on this during the year. It is areas that are familiar to you. It's close to our existing operations. So it is apart from the fact that we're working on early exploration in Canada, which is new geography to us. We are mainly working within existing geographies. And if you then look at the actual reserves update at the end of 2025, well, we have increased reserves in the Boliden Area. We have -- in Somincor, in Tara and in Zinkgruvan. This is mainly due to improved price assumptions. And here, now you have to be kind of careful because this is that we had -- these are price assumptions that were set in the beginning of 2025 for doing the calculations during 2025. They were slightly better than the ones that we had in the beginning of 2024. They are nowhere close to where we are today on spot prices. So these are still, with today's prices, extremely conservative, but they're slightly more aggressive than we were a year before. When you do that, you get better volumes, but typically, you get lower grades because you will incentivize mining from lower grade areas. Now what is great this year is that we have this increased volume, and we do not have lower grades. And that's mainly due to successful exploration that fills in this whole gap in a very good way. Then we also, of course, had lots of work during the year to transfer Zinkgruvan and Somincor into both the PERC standard and into the Boliden way of reporting within PERC. That's, of course, a process where lots of people have done lots of work, but it's nothing strange that has come out of that work. So if you then look at that, you can see that Aitik, we do not have a new update for reserves. So reserves are still ending up in 2048, which is a year shorter than the last year. But as I said, we have not had an update of the optimization for the reserves. The Boliden Area, very strong update, now extending to 2036 from 2033, so a 3-year addition in the Boliden Area, and it looks good and it's all 3 mines that are contributing to this. Garpenberg, on the reserve side, it has continued very good. We'll come to the resource in a while that looks really good. Kevitsa, nothing new happening. We are working on with the pushback #4, which means there is a 2034 end of life of mine. Somincor, partially because of the different ways of counting and doing so on the official life of mine is now 2036, which is already a year or 2 better than what we said when we bought it and much better than what Boliden had reported before. Tara is adding another 2 years of reserves up until 2032. And Zinkgruvan also increasing of 2.5 million tonnes, which is then also means that we come up to 2035. And then to the right in the exhibit, you can see the 10-year development. And you can see here after 10 years of really hard working in the Boliden Area, we managed to increase the life of mine from about 9 to now over 10 years. And it's the first time, I think, ever that we have Boliden over 10 years. And Garpenberg, very strong development, close to 25 years life of mine. If we then look at the resources, we can see that in the Aitik area, we have both indicated resources and inferred resources going up in Aitik itself. And additionally, here, Nautanen now coming in, if you add these 2 together, at over 50 million tonnes of indicated and inferred together, which means that this becomes enough to really warrant a deeper look into actually making a project out of this given the high grades that we have there. In the Boliden Area, despite the fact that we have had the resource conversions into reserves, you had a 3-year extra reserve side. We still have more resources coming in at the Boliden Area from very successful exploration during the year. In Garpenberg, we have altogether about 25 million or 30 million more tonnes of resources coming in. We are then adding up the amount of tonnes and the resource together. We're getting close to 150 million tonnes. This is getting large enough that, as I said to some journalists this morning, it's kind of absolutely wrong not looking into expanding the Garpenberg mine with the, once again, very successful R&R update that we had. Somincor, here, you have to be careful about the comparison numbers because we are really comparing apples with oranges. So you need to be perfect there. But as I said, the Somincor looks relatively good, tara looks relatively good and Zinkgruvan looks relatively good. So all in all, what I feel is a very strong R&R update. Outlook for the coming year, no news whatsoever. This is exactly the same as we said in December. So there are no news. The only little news there is that we are right now, as I'm speaking, experiencing very heavy rains in Portugal, and we've done that all through January. That has caused issues for us in water management. We're far from alone. I think everything in Portugal is affected by these rains. It's, of course, very unclear what will happen going forward in the rest of the quarter. We don't know the exact weather. Therefore, it's very difficult to say exactly how much this will impact in Q1. But our estimate as of today is that it's not going to impact more in Q1 than that we're going to be able to keep the full year guidance for Somincor. It's mainly the mill that's affected by this, not so much the mine. And as you know, in Somincor, it is the mine that's the bottleneck and not the mill. So we should be able to catch up over the year what we lose potentially from having to stop because of water issues. With that, I will invite you all with questions.
Olof Grenmark: Ladies and gentlemen, that opens up our Q&A session for the Q4 2025. I've been informed that we have many questions on the web. [Operator Instructions] And we'll start here in Stockholm, and we have Kaleb Solomon, SEB.
Kaleb Solomon: Yes. You mentioned in the mineral resource report that the Finnish mining tax for Kevitsa wasn't factored into last year's reporting. Can you give some color on to what sort of extent you expect that cost increase to impact resource estimates?
Mikael Staffas: In terms of the reserves, it will not impact at all because that's the pushback #4. In terms of the resources, I cannot tell.
Kaleb Solomon: Okay. And recoveries at Aitik were pretty much back to normal levels, close to 90% this quarter. Is it fair to say that the sort of recovery issues are completely behind you?
Mikael Staffas: Yes.
Olof Grenmark: Johannes Grunselius, SB1 Markets.
Johannes Grunselius: Yes, I have a question on Odda and what you see there for the coming quarters. I think you have guided for EBITDA uplift of EUR 150 million or something like that. Can you give some color if that's intact and what you see for the coming quarters in terms of sort of tailwind?
Mikael Staffas: I don't have a good number. Maybe you do, Hakan, but the EUR 150 million for an annual number, I say, what as of right now is quite understated given the high silver prices. The uptick should be bigger than that. But I don't have another number to give you. But I would say that as of right now, the EUR 150 million is actually pretty conservative. And then that's for the full year status. And of course, we will not have full year production in 2026, but maybe 3 quarters of full production or something like that if now we continue with the ramp-up during Q1 as guided.
Johannes Grunselius: And you feel comfortable about the ramp-up, where you are at the moment?
Mikael Staffas: Yes. The ramp-up is going more or less according to plan. And as of yesterday, we went up to full year to say, 24/7 manning on this one. So now we're basically running the process altogether. We haven't started feeding concentrate yet, but it's going forward the way we're anticipating.
Olof Grenmark: Christian Kopfer, Handelsbanken.
Christian Kopfer: It was a quite solid result. I just -- if I look at your production, especially in the mines for Q4, correct me if I'm wrong, but it seems like you didn't live up to your own expectations in the mines on -- if you look in full for Q4, if I'm wrong, you can just tell me. But if I'm right on that, from your perspective, was it, call it, normal hiccups? Or how do you see Q4?
Mikael Staffas: The mine production, the grades apart from Aitik are slightly lower than what we had expected. So it's -- you can say grades issue, and I would say this is all timing issues. There's nothing that will matter in the long time. And the throughput was around where it should be.
Christian Kopfer: But it was something in Kankberg, I mean, the gold mine. So it seems like you came down quite a lot on gold in Kankberg. What was that? Normal hiccups or...
Mikael Staffas: No, I think it's mainly a lower part of Kankberg in the total ore mix, and that goes normally up and down. So there's nothing wrong in the actual -- by the way, I didn't say that. But in the R&R statement, the reconciliation is also done this year and the reconciliation looking for all of '25 compared to what the R&R statement had for '25 and what we had in our plans is clearly within tolerances.
Christian Kopfer: All right. Finally for me then for Hakan. If prices, everything flatten out, what would you say is the internal elimination, call it, reserve, what you will get back in internal elimination if everything flattens out?
Håkan Gabrielsson: Well, that's an interesting question because it depends where it flattens out. But from now, it all depends to prices where they stand compared to year-end. And I think that we have, let's say, a couple of hundred to release at constant prices. But then we'll see where the prices take us because that has a big impact.
Olof Grenmark: Igor Tubic, Carnegie, please?
Igor Tubic: I just want to go back to the production for the full year because looking at your numbers, primarily for Aitik and Tara, you guided for 40 million tonnes and you reached slightly above 39 million. And for Tara, you reached slightly above 1.4 million and you guided for 1.6 million. And looking for 2026, you have guided for increased numbers. Can you please elaborate a little bit around that so we understand what you are doing in order to improve the ore milled?
Mikael Staffas: In Aitik, you know that why we are not close to the 45 million is because of diorite issues that we've had in the ore. And diorite is not going away overnight, but we will have less diorite, and that's why we can go from up to the 41 million that we have guided. In Tara, it's a more complex situation. It's a new organization. It's a new setup after we restarted from having been in shutdown, and we have not been able to achieve the productivity during the year that we had anticipated. We were also late in getting some contractors in. As we look for 2026, that looks better, and therefore, we feel confident about what we have guided about it.
Igor Tubic: Okay. And the second question, have you seen any prebuying among your industrial customers?
Mikael Staffas: I actually don't know. I'm looking at my CFO.
Håkan Gabrielsson: No, I'm not aware of that. I don't think we've seen any of that.
Olof Grenmark: Any more questions here in Stockholm? Okay. Operator, then we hand over to the international questions, please.
Operator: [Operator Instructions] The next question comes from Alain Gabriel from Morgan Stanley.
Alain Gabriel: A couple of questions from my side. I'll do them one at a time. Firstly, Mikael, on the Odda project, you sound as if you are quite satisfied and happy with the progress of the project. Do you mind giving us a bit more color how you expect the earnings to be phased over the course of the year, the earnings uplift from the project? And what would be the approximate mark-to-market earnings uplift on spot commodity prices because clearly, things have moved quite a lot since you've given the estimated uplift. That's my first question.
Mikael Staffas: And on the mark-to-market on spot, I may look at my CFO for that number. As I just said before, I actually don't know. The other question is around when I feel it's going to come. Well, I think that we should be in full production by the end of this quarter. And therefore, you can say that we should get roughly 75% of this during the year as a whole. So that will be a number on kind of how the timing will work out.
Håkan Gabrielsson: And regarding the spot level of the uplift, I think we'll leave it at the level where the EUR 150 million is understated. We did a simulated performance this Friday -- or last Friday. And just in a couple of calendar days, the whole price environment has changed quite a lot. So for that reason, I'd rather not give any exact forecast. But we leave it at the fact that it's understated, the EUR 150 million.
Alain Gabriel: Okay. Understood. And my second question, it's a high-level question on both Somincor and Zinkgruvan. You seem to have extended the remaining life of mine with the latest R&R update as you've also just articulated now. How are you thinking about the medium-term capital allocation to these 2 mines? Are there any big ticket items that may be needed to ensure that the life of mine is actually extended to the mid-2030s as you are planning to do?
Mikael Staffas: Somincor will need a ventilation shaft to put in relatively quickly. I don't know exact number. That is still relatively modest CapEx, but it's there. For Zinkgruvan, we don't see if we need to do any kind of major changes. It's more continuous as is and with just normal replacing CapEx.
Operator: The next question comes from Liam Fitzpatrick from Deutsche Bank.
Liam Fitzpatrick: I've three hopefully quick questions from me. The first one, just on the dividend -- in terms of the special dividend. It looks like if we look ahead a few quarters, you could be well below the 20% gearing threshold. So could you just remind us of the policy in terms of how you would look at potential top-ups in a year's time? Second question, just on the CMD in March, you had a CMD a year ago. We had the update from you in December as well. Are you able to give us a little preview of kind of what to expect? Is this going to largely be a progress update? Or should we expect to hear about new projects and initiatives?
Mikael Staffas: To start with the dividend policy, just to remind everybody, we have a clear dividend policy of 1/3 payout ratio from net profits. That's what you've seen suggested here today. Then we have -- the next one is that when we are having a too strong balance sheet and strong is defined as having less than 20% gearing. And then this time, we include the net reclamation debt as well into the gearing. And we also take care of the fact that we already -- it will be after the ordinary dividend. And that number right now, I think, was 30% or 32%, so clearly north of 20%. I don't want to make any prediction of when this is going to happen or if it's going to happen, it will all be down to price and terms. On the CMD in March, you can expect update on projects. And of course, this will be, I think, right when Odda is maybe very hot off the press. We will have updates from also what's happening in Ronnskar and how we're doing in the Boliden Area sand recovery project. Regarding new projects, we will see what we get, but hopefully, there could be something around that, and it will not be something that comes straight out of the sky, but we have discussed that there are potential further steps into Garpenberg, and we have discussed that there might be some discussions around cement during the early part of '26. And to the extent that we get this in place, you might hear more about that also in March.
Liam Fitzpatrick: And just as a quick follow-up, we can safely assume that any sort of new approvals or additional steps are kind of captured within the SEK 15 billion CapEx number for '26?
Mikael Staffas: We'll see. I could add just to be very clear to you that those 2, for example, will have relatively little CapEx in '26. It's more '27, '28 that will be affected.
Operator: The next question comes from Amos Fletcher from Barclays.
Amos Fletcher: Just a couple of questions on cash flow items. I just wanted to ask Hakan on the cash tax side, it looks like you paid very little in the quarter relative to the P&L accrual. Should we expect some catch-up in Q1? And then the second question was on working capital. Can you guide on sort of what your expectation for the quarterly dynamics through 2026 is? Obviously, it sort of feels like we're at a relatively low level of working capital at this point.
Håkan Gabrielsson: Thank you, Amos. Two good questions. I'm happy you asked that about the tax one. I should have perhaps highlighted that already in the presentation. But it's right. The way it works is that you decide a preliminary tax level based on where you stand in the beginning of the year and then we pay according to that. And given the development that we've seen in the later part of the year, it is a quite big tax amount that we will have to catch up with the final payments during this year. And we have some flexibility when during the year to take it. But there is a fair amount of catching up that we'll have to do this year. Secondly, working capital, we typically tie working capital in Q1. Looking back over the years, it's about SEK 1.5 billion at constant prices. Then it's relatively stable in Q2 and Q3 and then Q4, we release roughly the same amount. So that's -- I mean, to give some indication for Q1, I would expect us to tie about SEK 1.5 billion working capital. What's happening this year as well is that we have a little bit extra in working capital for Odda. That's fairly small amount since it's zinc. But then towards the end of the year, we'll also come back with an amount on how much we're going to tie for the Ronnskar ramp-up. I think we're talking about SEK 1 billion to SEK 1.5 billion, depending on where the prices stand.
Amos Fletcher: Okay. And then one little follow-up, if possible. I just wanted to ask on the MAMA effect in this quarter. Could you talk us through what that was and where expectations should be for Q1 that, let's say, flat prices where we are today?
Håkan Gabrielsson: The MAMA effect, just to repeat what that is, that is the open positions we had when we started the Q4 and that got their final pricing. So in Q4, that had a positive impact of SEK 300 million. And assuming that prices are flat compared to where we -- to the end of the quarter, that should be pretty much 0. But then again, we'll have to see where the spot prices end up, but SEK 300 million for Q4.
Operator: The next question comes from Jason Fairclough from Bank of America.
Jason Fairclough: Just a question for you on the reserves and resource statement. I wonder if you could just talk high level about the sensitivity of your reserves and resources to the prices that are used to calculate those reserves and resources. Also, you've given planning prices. Are those actually your reserve calculation prices? Or is that what you're using to run the business in the short term?
Mikael Staffas: If I start in the end of that question, the answer is we use the same. Our planning prices are used both for investments in the kind of medium term, a couple of years out and also for calculating R&R. So it's the same number. And therefore, you can now see what we have been using throughout the year as a planning price for investment. Regarding sensitivity to prices, well, the Aitik mine is very sensitive to prices and terms on gold and on copper. And it's not -- even though you're not supposed to talk about it, of course, Aitik at today's spot price and terms would be vastly larger than what you see here. The underground mines are less sensitive, even though there's always some sensitivity, but the underground mines are less sensitive to these fluctuations. And as of right now, you can say that the whole resources in Kevitsa and their ability to be upgraded to reserves is very much dependent on pricing terms, but also tax levels in Finland.
Jason Fairclough: Okay. Can I just do a follow-up one as well? And I think this is one we've talked about before. So CapEx, there's always a bit of discussion as to how much money you guys need to spend to keep the business running to keep output flat. And I think in the past, this figure has been as low as SEK 7 billion, but I think you've drifted that up a little bit now. These days, you have some new mines. So how do you think about sort of a through-the-cycle level of CapEx required to keep the mines running?
Mikael Staffas: Do you want to take that, Hakan? Or should I go ahead?
Håkan Gabrielsson: Well, I mean, you're right. I mean we've added a couple of billion due to the -- I mean if you start at the SEK 7 billion and then you add a couple of billion for the new mines and some inflation, then I think you're ending up roughly right. But in addition to that, I'd like to defer that for a month or so until we have the capital markets update because that's the time where we usually dive into the CapEx question a little bit more. But I'm not sure if you want to highlight some more there.
Mikael Staffas: No, it is -- of course, you can get a number to answer your question, but it's also -- and everybody is aware of that, that when we talk about sustaining CapEx that what we need to kind of get on from year-to-year. If we only do sustaining CapEx, we will eventually deplete the mines because we're not developing anything new and we're getting to lower grades. So yes, sustaining CapEx is one level where if you go below that, you will very quickly reduce your production, but then there is something more if you really want it flat for a long time. But as I said, Hakan will have that as a little bit of a discussion on the capital markets update as well.
Operator: The next question comes from Daniel Major from UBS.
Daniel Major: Just first one on Garpenberg, two parts to it. One, can you give any approximate indication of the time lines on the appeal process for the environmental permit? And then the second part, assuming the permit is not appealed successfully, when would you expect to achieve the 4.5 million tonne throughput run rate?
Mikael Staffas: We have guided for the 4.5 million. We have guided to you that we are aiming to increase by about 200,000 per year for 5 years. So around 2030, we'll achieve the 4.5 million. Regarding the appeal timing, it's always very difficult to tell. But as a rule of thumb, a year from the verdict. So sometimes late this year, we should be able to get the verdict from the appeals court.
Daniel Major: Okay. Two modeling questions. Maybe I missed it, but did you give any guidance for the distribution of maintenance through the year quarterly in the smelters?
Håkan Gabrielsson: I'm looking at Olof. No, we haven't done that. We have to complete that during the capital markets update. But typically, Q2 and Q3 are the heavy quarters. It's relatively small numbers in the other quarters.
Daniel Major: Okay. And then the final one, how much have you got left in terms of cash insurance proceeds that comes through in receivables in 2026 from the insurance claim?
Håkan Gabrielsson: It's about SEK 330 million that is due to be -- well, in fact, we have received it already in January, but it will be a positive then in the Q1 cash flow. So where we stand here and now, there is nothing more to receive, but SEK 334 million, I think, that we received in January this year.
Daniel Major: Okay. And so your net is expected to be at SEK 1.5 billion working capital build after that. Is that the right kind of ballpark?
Mikael Staffas: Yes.
Håkan Gabrielsson: Yes. That is correct.
Operator: [Operator Instructions] The next question comes from Richard Hatch from Berenberg.
Richard Hatch: Two questions. Just the first one, just on cost inflation. Hakan, you mentioned that you weren't really seeing any cost inflation, but I guess it's only a matter of time if prices remain this high. So can you just give us your thoughts on the outlook for cost inflation and where and when we might be seeing it? That's the first one, please.
Håkan Gabrielsson: Well, that's a difficult question. I wish I had a crystal ball to answer that. But looking at what we see right now, we do have the regular salary inflation, which is fairly limited in our part of the world. And then for the external purchases, we haven't seen much inflation at all, I should say, on OpEx. It looks like there is more inflation on the CapEx side, but that's more difficult to compare quarter-to-quarter. I guess you're right, if we see the same price levels, there is a risk that we see a pressure on the inflation, but it's a bit difficult to say then when and where that will come.
Richard Hatch: Okay. That's helpful. And I'll just -- so my follow-up is -- well, two follow-ups. One, you just talked about the CapEx inflation. Is that just because we're seeing more appetite from more companies wanting more hit. So therefore, there's a bit more tension there? Or is it something else? And then the follow-up is just on the tax. So I see your current tax liability is SEK 1.3 billion. You answered an earlier question with regards to the tax payments, but should we be perhaps unwinding that kind of SEK 1 billion-or-so build year-on-year on the tax liability over the course of 2026. Is that the right way to kind of think about it on a cash basis?
Håkan Gabrielsson: Start with the taxes. Yes, that's roughly the right way of thinking of it. I think it's not really SEK 1 billion, but it's close to that level. And then CapEx inflation, I think we also have to come back to that in the capital markets update. But there is -- just when looking at projects, there is a feeling that things are increasing, looking at what is announced by other parties and so on. But let's come back to that.
Olof Grenmark: Ladies and gentlemen, we have a few minutes to go. Are there any follow-up questions here from Stockholm? Yes, we have Jonas Grunselius, SB1 Markets.
Johannes Grunselius: Okay. I'll take the opportunity for an extra question here. How about -- yes, I was wondering about Nautanen. You have applied for some kind of permit there to the EU. And I suppose you want to have a fast track. And can you elaborate when you see this project to sort of starting and when can you maybe go ahead with first commercial production? And how will all this change basically the Aitik feedstock into the mill basically?
Mikael Staffas: Just on timing, I mean, it's unclear right now. As you know, the only -- we have a mining concession that's been appealed. We need to make an environmental permit. If we get the strategic status, that should all help and speed that process up. But I think we're still talking about 3 years just to be talking about order of magnitude. And then we will be able to move ahead with the investment and get production a couple of years later. So this is something that in best case has production 2030, 2031, something like that. How will it impact Aitik is a very good question because there has been this constant question about how do you best process the Nautanen feed? Do you mix it in with the general Aitik and just increase the average grade? Or do you, in some way, batch it? And that's still being worked around. So -- and if you batch it, then you can say Aitik -- the rest of Aitik should be totally unaffected by this one, and this will get its own kind of situation. And the answer is, we are not quite sure. The best guess, if you were to ask me today, is that we will probably invest in a new mill line and we will mill Nautanen separately, and then we will mix the feed from the mills and have a joint flotation, but that's the best thinking right now.
Johannes Grunselius: Is the deposit fully sort of examined? Or do you see a potential for increasing the reserves?
Mikael Staffas: Nautanen is open, I would say, in every direction, they're not quite true, but clearly opening towards the depth. So the 50 million tonnes that we have now should normally not be the end of it. So we are continuing exploration.
Olof Grenmark: Any other follow-up questions here in Stockholm? Then I hear in my ear that we have some questions on the web, please, as follow-ups.
Operator: The next question comes from Amos Fletcher from Barclays.
Amos Fletcher: Just one follow-up. I just wanted to come back to one of the questions asked earlier about surplus capital returns. In a fantasy scenario of higher commodity prices going forward, would you typically wait until the end of the year to launch any kind of surplus capital returns? Or is that something that you could think about doing intra-year if your net debt-to-equity ratio gets low enough?
Mikael Staffas: In the Swedish context, it's only the AGM that can decide that. That means that if we were to do it during the year, we have to call an extra EGM specifically for that purpose. Maybe not impossible, but I think it's highly unlikely.
Olof Grenmark: Next question, please, operator.
Operator: The next question comes from Marina Calero from RBC Capital Markets.
Marina Calero Ródenas: I just have a couple of follow-up questions. The first one is on your cement projects. I've seen that you have received some grants or financial support from the environmental authorities. Do you consider increasing the scope of that project? And then a second question, of the one-off impact on recoveries in the smelting division, can you clarify what part of that has been converted into cash and if there's anything that still remains to be converted?
Mikael Staffas: I'll leave the last one for you. On the cement project, you're absolutely right, and everybody who reads Swedish have read that, that we have received some grants towards the cement project. The cement project is about size. The one that we're looking into and the one we're working on is fitted pretty well for what is possible in Ronnskar. It's linked to the size of the fuming operations that we have. So there, the kind of the scope creep is relatively limited. But the technology as such is one that works well with copper slags. It actually works well also with zinc slags, and it might even work on mine tailings. So there might be many feeds into this process, which means that we could theoretically, over time, if this thing works and if it works in the market and if it works in production also at other sites, but that's way too early to tell. We are right now making sure that we get a first stage, this demonstration plant, as we call [indiscernible] up and running. And the size of that one, as I said, is determined by the size of the existing fuming operation.
Håkan Gabrielsson: And second question on the one-off adjustment of recoveries. All of that has been converted to cash as of the end of Q4. Some came already in the earlier quarters, but by the end of Q4, everything is cash.
Olof Grenmark: Ladies and gentlemen, time is flying. We have time for one final question from the web. And after that, I leave it over to you, Mikael, to end this session. Please go ahead.
Operator: The next question comes from Liam Fitzpatrick from Deutsche Bank.
Liam Fitzpatrick: Apologies. Probably a question for Hakan, just on the provisional pricing. I think last quarter, you broke it down into the 2 buckets. There was the MAMA and then there was the effect of a chunk of sales being priced at the end of the quarter rather than the average price. So I think last quarter, it was around SEK 100 million and then another SEK 200 million to SEK 300 million. So you gave us the MAMA figure for this quarter, which was SEK 300 million. Do you have the other number as well?
Håkan Gabrielsson: I don't know. And I think it's just important to recall that we are not invoicing strictly according to average prices evenly through the quarter. It will depend on whether we invoice one week or the next week and so on. We have described the pricing methodology that we use in the capital markets material with MAMA peers. So I would rather refer to that than give any exact numbers.
Mikael Staffas: What Hakan is really saying is that all these things are relatively easy if you have small deviations. When you have big deviations, this is more difficult to actually assess. So with that, everybody else, thank you all for listening this morning. It's been very interesting for me to be able to present this, especially the R&R update, which we feel very good about. We feel very good about the general strategy that we have. And we will now continue our meetings during the day, and we will face the 15 degrees minus temperature in Stockholm. Have a nice day, everybody.